Operator: Welcome to the SemiLEDs' Fiscal Second Quarter Financial Results Conference Call for the quarter ended February 28, 2013. This call is being webcast live on the Events and Presentations page of the Investors section of SemiLEDs' website at www.semileds.com. This call is a property of SemiLEDs and any recording, reproduction or transmission of this call without the expressed written consent of SemiLEDs is strictly prohibited. As a reminder, today's call is being recorded. You may listen to a webcast replay of this call by going to the Investors section of the SemiLEDs' website, and visiting the Events and Presentations page. I would now like to turn the call over to Erica Mannion of Sapphire Investor Relations, Investor Relations for SemiLEDs.
Erica Mannion: Good morning. Thank you for joining us to discuss SemiLEDs' financial and operating results for the fiscal second quarter 2013. With me today are Trung Doan, Chief Executive Officer and President and Timothy Lin, Interim Chief Financial Officer. Today, Trung will begin with a brief overview of industry dynamics and details of the second quarter. Tim will review fiscal Q2 financial results, and then open up the call for questions. On the call today, you may hear forward-looking statements about events and circumstances that have not yet occurred. Actual outcomes and results may differ materially from these expectations contained in these statements due to a number of risks and uncertainties. Please refer to the Company's recent SEC filings at the SEC's website at www.sec.gov for detailed discussions of the relevant risks and uncertainties. The Company undertakes no responsibility to update this information in the conference call under any circumstance. The press release distributed today that announced the Company's results is available on the Company's website at www.semileds.com in the Investors section under financial press releases. The current report on Form 8-K furnished with respect to our press release is available on the Company's website in the Investors section under SEC Filings and on the SEC's website. You'll also hear discussions of non-GAAP financial measures. Reconciliation of these non-GAAP measures to the most comparable GAAP financial measures are contained in the press release distributed today, and available on the Company's website. Now, I will turn the call over to Trung Doan, Chairman and CEO. Trung, please go ahead.
Trung Doan: Good morning and thank you for joining our call today. In the call today, I also have Dr. Ilkan Cokgor, our Executive VP of Sales and Marketing. So I just want to let you know that too. Through the combination of managing our cost structure and our focus on engaging the profitable business, we have achieved a net loss of $6 million in the second fiscal quarter, a significant improvement compared to a loss of $8.9 million in the first fiscal quarter. Revenue for Q2 2013 came in at $4.8 million. As a reminder, last quarter we guided revenue down sequentially in expectation of revenue softening due to the Chinese holiday and given our keen focus on securing profitable business. With that said, today I am happy to say that the LED market seems to be improving basically within our target markets in particular our UV products are doing very well. I am more optimistic today compared to past call; my optimism is based on what we have currently experienced in the market and where we are in the qualification process with several customers. As you may recall, we began qualifying our UV and C35 products back in October last year. The evaluation process typically take a possibly six to nine months, we are expecting our revenue not only to stabilize but to gradually increase over the next few quarters as more customers complete their qualification process and as a result we experienced higher demand for our C35 and UV products. The pricing environment remains challenging and it is more challenging in certain parts of the market and due post our cost product groups. For example, we are still working down some of our outage inventory at lower pricing. However, I would like to reiterate that our strategy is to focus on the profitable areas of the market to drive profitable and sustainable growth. We believe industrials and UV specialty applications will be the driver of that growth while our margins remain today due to our revenue level, the industrial and UV specialty markets command higher margins overall. For the China street light market, the market is improving and we have received orders from our China customers and expect this market to resume growth. In summary, based on what we are experiencing in the market and hearing from our customers, I believe that we are on the right track and this is a turning point for SemiLEDs. From an execution standpoint, we need to focus on profitable markets to drive long-term growth and continue to control costs. Now I will turn the call over to Tim who will take you through our financial results. Tim?
Timothy Lin: Thank you, Trung and thanks everyone who are joining us today. As a reminder, I am referring to our fiscal quarter as I walk through the financials. For the second quarter of 2013, revenue was $4.8 million, this is an approximately 22% sequential decrease from the first quarter of 2013. The sequential decrease in total revenue was primarily due to the negative impact of Christmas, New Year and Chinese holidays. Revenues attributable to the sales of our LED chips decreased by 4% sequentially and represented approximately 36% of our total revenues in the quarter. Revenues attributable to the sales of our LED components decreased by 24% sequentially and represented approximately 38% of our revenues in the quarter. Revenues from our lighting products decreased by 27% sequentially and represented approximately 20% of our revenues in the quarter. GAAP net loss attributable to SemiLEDs’ stockholders was $6 million for the quarter, compared to a loss of $7.1 million for the second quarter of 2012 and a loss of $8.9 million in the previous quarter. GAAP diluted net loss per share was $0.22. On a non-GAAP basis, net loss attributable to SemiLEDs’ stockholders was $5.4 million, compared to a loss of $6.1 million for the second quarter of 2012 and a loss of $8.6 million in the previous quarter. Non-GAAP diluted net loss per share for the second quarter of 2013 was $0.19 and excludes stock-based compensation expense of $641,000 net of related taxes. In line with our expectations, SG&A expenses were $2.6 million, which represents a $1,043,000 sequential decrease. Next quarter, we expect SG&A to be approximately $2.9 million. R&D expenses were $1 million and approximately $200,000 decrease compared with Q1 2013. Gross margin for the second quarter was negative 69%, which compares to a negative 9% in Q2 2012 and negative 53% in the previous quarter. Moving to the balance sheet. As of February 28, 2013, working capital was $49.9 million. Cash and cash equivalents were $43.9 million, compared to cash and cash equivalents and short-term investments of $47.7 million in Q1 2013 including $8.3 million of short-term investments. Day sales outstanding were 64 days as compared to 59 days for the prior quarter. Inventory days on hand were 112 days essentially flat compared to 111 days at the end of the prior quarter. Cash using operations during the second quarter was $4.2 million compared to $3.3 million in the previous quarter. We spent approximately $374,000 on capital expenditures in Q2. This resulted in free cash flow of negative $4.6 million. We define free cash flow as cash provided by operations less capital expenditures. Now, I will provide guidance for our fiscal third quarter. We expect revenues to be in the range of $5 million to $5.5 million and GAAP gross margin to continue to be negative for the quarter as we will not fully utilize our production capacity. GAAP net loss attributable to SemiLEDs’ stockholders for Q3 is expected to be $6.5 million to $6.9 million. GAAP EPS is expected to be negative $0.23 to $0.25 per diluted share. The diluted shares outstanding count is estimated at $27.7 million. This concludes our formal comments. I will now ask the operator to please open up the line for questions. Operator?
Operator: Thank you. (Operator Instructions) We will take our first question from Andrew Huang with Sterne Agee.
Andrew Huang - Sterne Agee: Thank you. Can you just do me a favor and quickly go through the revenue contribution from chips components and others, because they didn’t seem to add up to 100?
Timothy Lin: Yes, of course. Chip is a 36%, component is 38% and we have others 20%.
Andrew Huang - Sterne Agee: Okay, but that doesn’t add up to 100.
Trung Doan: Yes, for the rest, it’s miscellaneous, or it belongs to the other category.
Andrew Huang - Sterne Agee: Okay. And maybe you could talk a little bit about why you feel like the LED market seems to be improving? What gives you that conviction and what you are seeing that makes you, you get to that positive outlook?
Trung Doan: The LED market is, this is Ilkan.
Ilkan Cokgor: Yes, this is Ilkan Cokgor, Sales and Marketing Vice President. Overall, we see LED lighting adaptation increase and as a result demand for LED lighting increased. Our focus is industrial, commercial and UV applications and in these areas, we see demand increasing as system prices coming down and adaptation increasing in all these segments.
Andrew Huang - Sterne Agee: Okay. And maybe, you talk a lot about UV, maybe you can share with us what your UV LEDs are used for? And what percentage of revenue that represents right now?
Ilkan Cokgor: Our UV LEDs are used for two types of applications. We can classify them as consumer and industrial. Consumer applications are such as cosmetics, industrial applications are applications such as commercial printing and coating. And these applications are adapting LED lighting because of its lifetime and other advantages. As a result, we see UV demand increase. Our UV revenue, UV portion of the product revenue is about 36% and it’s growing.
Andrew Huang - Sterne Agee: Okay. And it’s growing, okay. And for some reason, you gave guidance for SG&A, but you didn’t give guidance for R&D or gross margin, can you kind of complete the picture for us?
Trung Doan: We did give – did you give R&D?
Timothy Lin: Yes, sure. Okay, 24 flat, Andrew.
Andrew Huang - Sterne Agee: R&D flat in dollars?
Trung Doan: Yeah, it’s slightly flat, say flattish like decrease or increase a bit, not much.
Andrew Huang - Sterne Agee: Okay, and then it seems your revenue guidance is a little bit higher for the Q3, should I assume that there is going to be some improvement in the gross margins?
Trung Doan: Yes. I think margin is, as I mentioned before, it’s moving through the market with a higher profitability. We focus more on bottom-line than on top line, okay. So we knew we’ll start seeing that results on our gross margin and work down older inventory, still we are working down but we focus more for the higher margin products and we are driving the company that way because as I said in my remarks that we are focused on profitable business.
Andrew Huang - Sterne Agee: Right, okay and lastly, if you wouldn’t mind, you talked about getting some traction with China street lighting. Are you selling chips or components into China street lighting and what could the revenue opportunity be for this calendar year?
Ilkan Cokgor: This is Ilkan. We are primarily supplying components to the China street lighting market and the contribution of that we haven’t disclosed yet.
Andrew Huang - Sterne Agee: Okay, but the product – or the projects seem to be ramping right now?
Ilkan Cokgor: Yes, as we mentioned, we started customer trials last quarter and we have started to see pilot orders. So it is progressing. As Trung mentioned, this area takes six to nine months for qualification, but so far the qualification process is on track.
Trung Doan: Yes, so we started receiving orders for street lights.
Andrew Huang - Sterne Agee: Okay, thanks very much.
Trung Doan: Thank you, Andrew.
Operator: (Operator Instructions) And we will go next to Ben Pang with B. Riley & Company.
Ben Pang – B. Riley & Company: Thanks for taking my questions. First, when you look at your revenue, your emphasis to get more profitable business, can you rank this for me in terms of what are your top three priorities, and how should I think about it, application, (inaudible)
Trung Doan: Ben, your voice is breaking up. So we can’t hear very well, the question and the last few sentences. Would you please repeat that for me?
Ben Pang – B. Riley & Company: So, you guys are looking for higher profitable revenues, right, more profitable revenues. Is the Chinese street light, is that included in the top three priorities for this higher profitability? I want to understand which markets to look at or should I really just look at some of the industrial area or those are becoming a part of the mix now? What exactly, how do you exactly transformed the structure in terms of the product – the product structure to higher profitability? What’s that going to look like?
Ilkan Cokgor: Yes, this is Ilkan again, our main focus is on UV applications and both consumer segments for UV applications and industrial segments are good margin business for us today. Our second priority is on commercial and industrial lighting segment. For example, street lighting, lighting for warehouse applications are in these two segments. And the third application we are focusing on is for camera flash for mobile phones. These three segments are our main focus where our product is a good match where margins are higher.
Ben Pang – B. Riley & Company: So, do you look at the industrial segment at what – in which revenue sector will that show up for you guys? I mean, is this components or is it final products, how do you – that mix also changed on your targets to different markets?
Ilkan Cokgor: Yes. For industrial lighting application that you mentioned, the products that we provide are mainly components, but we also work with customers to provide more integrated modules as well. These are the products primarily.
Ben Pang – B. Riley & Company: Can you talk about the six to nine months qualification time for a lot of these products, in particular the street lighting? As you go to the end of your fiscal year, what do you – how do you target what the mix should be between the components to modules and the other business?
Trung Doan: This is Trung. For the – it depend on very much, depend on product-specific, if you talk about UV market, actually, as we grow from components. We start seeing that our customers need a spot to provide them with the more of the integrated solution. So we are assisting them and that is really driven by the needs of the customer and we see - so far we see it’s still very much at components.
Ben Pang – B. Riley & Company: So I just need that, is there a certain mix that significantly improved the profitability here? That’s part of what I am looking at, which is still I think that at the end of the year, the marketing spend is high?
Trung Doan: You will see the mix up of components increase, that’s still the plan that we have shared before, chip become a low percentage and the component become a higher percentage.
Ben Pang – B. Riley & Company: Okay. And then, what are the – are there any different CapEx requirements for some of the end-markets that you are targeting? Can you give guidance for the full year CapEx?
Trung Doan: As I mentioned in the last conference call, we start spending some money in expanding our component capacity and that’s still on plan.
Ben Pang – B. Riley & Company: What’s that number for the full year?
Trung Doan: As I mentioned, that number is so far about $1 million plus.
Ben Pang – B. Riley & Company: Okay, okay. Thank you very much.
Trung Doan: Thank you, Ben.
Operator: (Operator Instructions) And we have no further questions at this time. That does conclude today’s conference. We appreciate your participation. You may now disconnect.